Operator: Good day everyone, and welcome to Gannett’s second quarter 2006 earnings conference call. (Operator Instructions) Our speakers today will be Mr. Craig Dubow, Chairman, President and Chief Executive Officer; and Gracia Martore, Executive Vice President and Chief Financial Officer. At this time, I’d like to turn the call over to Ms. Gracia Martore. Please go ahead, ma’am.
Gracia Martore: Thanks very much and good morning. Welcome to our conference call and webcast to review Gannett’s second quarter results. Hopefully you’ve had an opportunity to review the press releases from this morning, which also can be found at www.gannett.com. Since we provided a detailed update at the Mid-Year Media Review just a few weeks ago, we’ll keep our comments relatively brief today. With me today are Craig Dubow, President and Chief Executive Officer, and as of July 1, Chairman. Also, Jeff Heinz, Director of Investor Relations. Craig will start off with an overview of the Company’s initiatives, and I’ll follow up with some additional specific details on the quarter.
Craig Dubow: Thanks Gracia, and good morning all. We have been hearing now for quite some time that newspaper and broadcast industries, in fact, all of media, are under tremendous competitive pressures. Along those lines, today, I want to reiterate some of the points that we made at the Mid-Year Media Review regarding our strategic efforts and the opportunities that we see in our markets. Gannett is about local, local content. Our strategic plan is based on our ability to gather, package, and deliver local content the way customers want. To do that, we are enhancing our core assets while we concentrate on continuing, I repeat, continuing to quickly build a robust and profitable digital business. The acquisitions of WATL in Atlanta and KTVD in Denver are examples of that strategy. Creating duopolies is a superb way to enhance our core assets. Consumers and advertisers benefit from stronger programming with a local focus. At the same time, we are boosting efficiency and the bottom line. In addition, in May we acquired Planet Discover, a provider of local search technology that will leverage our community knowledge to provide a better product for our consumers. Local search is just one area in which we see tremendous opportunity. Our work in audience aggregation highlights the impact of our reach in our local community, a very important concept for our advertisers. Plus, we are delivering our content in new ways, and across a wide array of platforms to benefit both users and advertisers. We have the ability to deliver to a mass audience, as well as target specific demographics and interest groups through a robust product mix. Listening to our advertisers and consumers, and delivering what they want is the driving force behind creative new approaches to our advertising and online efforts. Hyper local print and websites geared toward specific communities; websites that engage in citizen journalism; conduct community forums and story chat; focus on youth and prep sports and covering breaking news with video developed by our own newspaper-based video journalists, are just some of the products and platforms that we are developing. We are creating some very, very good opportunities for us. Now, turning to our results for the quarter, the broad trends we highlighted at the Mid-Year Media Review continued in June. As you saw in our release this morning, Gannett earned $1.31 per diluted share this quarter, in line with our expectations. Overall, our reported operating revenues for the quarter totaled over $2 billion, and we generated over $600 million in operating cash flow. A variety of factors, including the full consolidation of Detroit, our asset swap with Knight Ridder, and the stock compensation expense had impact on our revenue and expenses for the quarter. Gracia will walk you through in more detail in just a few moments. Our domestic community newspapers generated revenue growth, particularly in the local and classified category. Real estate ad demand drove the growth in classifieds, while auto continued to lag. Our digital efforts and niche publications contributed strongly to that growth. As anticipated, our June results softened in comparison to May, which were the best for the year. Geographical divergence, which for us meant stronger results in the far West and South, continued among our domestic markets. After a slow start in the first quarter, USA Today’s ad revenues were up almost 1% in the second quarter. They face tougher comps, particularly in the auto in the second half, and visibility at this time remains very limited. Positive results in the US, however, were particularly offset by soft ad demand in the UK, which persisted in June, although we are beginning to see some stabilization. Given the strong cost control in the UK, we will take full advantage of their operating leverage when ad demand returns. Our broadcasting segment generated solid revenue growth for the quarter. As expected, that is primarily from strong political and issue related advertising, and online growth. Based on the strength of our local stations and their markets, we are well positioned for what we expect will be a very robust election season. As I mentioned, we are focused on continuing to substantially expand our digital business, and as a result, we delivered strong online revenue growth. Online revenues for the total Company were up about 29% for the quarter. Our domestic community newspapers contributed to that growth, an increase in online revenue of 27%. Online revenue growth in our broadcasting segment was up 63%, and usatoday.com grew 21%. Our latest monthly numbers for June show our domestic websites had about 22 million unique users, and reached over 14% of the Internet audience. In the UK, Newsquest’s online audience totaled 3.5 million unique visitors, with 46.1 million page impressions. In addition, the CareerBuilder network continues to generate growth and revenues, up 42% compared to the second quarter of 2005. Traffic for the network increased 16% and averaged over 22 million for the second quarter. With our niche in non daily publications we are able to deliver targeted audiences to our advertisers while broadening our footprint in our local market. Revenue for the local non daily products, which do not include the Army Times, Nursing Spectrum, or Flipper magazine, continues to be strong. Finally before I turn the call over to Gracia, many of you are aware that Doug McCorkindale retired at the end of June after a remarkable 35-year career with Gannett. I’d like to take just a moment to thank him for all that he has done for this Company through his financial acumen and his leadership and from me personally, through his support and counsel. I’m honored to be able to succeed him as Chairman. So, with that let me turn the call over to Gracia, and we can move forward.
Gracia Martore: Thanks Craig. Before we go into the detail on our quarterly results, of course, I need to remind you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that might cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures, and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release, and on the Investor Relations portion of our website. Turning to the actual business at hand, several factors, as Craig said, impacted our reported results this quarter. With full consolidation of 100% of Detroit’s results affected both revenues and expenses, and also the margin for the newspaper segment. Also on the last day of our 2005 fiscal year, we completed the expansion and reorganization of the Texas - New Mexico newspapers partnership. Our percentage of the net results of the partnership is now included in other operating revenues, rather than fully consolidated in the financial statements, similar to what we do with the California newspaper partnership. Also, stock-based compensation expense of a little over $10 million negatively affected our comparison to 2005. Finally, an unfavorable exchange rate tempered our results a little bit in the quarter. Let me fill in some additional details starting with our newspaper segment. Our reported newspaper ad revenues were up 6.4% for the quarter. Assuming we own the same newspapers in both years, total advertising revenues in the segment increased 3/10%. On a constant currency basis, pro forma ad revenues would have been 6/10% higher. For the quarter, pro forma advertising revenue at our domestic newspapers increased over 2%, while ad demand at our UK operations continued to be soft. At the category level we experience the same general trends we have been seeing. Stronger results in the US compared to the UK, particularly for classified advertisements. Domestic classified advertising increased almost 2% compared to a 1.7% decline for classified Company wide. Real Estate advertising for the entire Company was up almost 11%. Again, real estate results at our US community newspapers were up 17%, stronger in the UK, but the UK looked also positive. As we noted at the Mid-Year Media Review, the South and the Far West continued to be significantly stronger than other parts of the country. Turning to employment, advertising for the Company as a whole was down over 5% in the quarter. Again, it was stronger in the US than in the UK, where it was negative. In the US, employment revenues were up about 1% for the quarter. Automotive at both our domestic community and UK newspapers remained soft, down over 15%. In our US community newspapers, auto was almost 13% lower. Again as we noted at the Mid-Year Media Review, we have increased regional and local dealer association spending in some of our markets from Toyota, Nissan and Honda. However, that has not offset the domestic losses. Pro forma local advertising in the newspaper segment was up almost 3% in the quarter. Across all products, the health, financial, restaurant and particularly the home improvement category were quite positive while the department store, grocery, telecom and a few other categories lagged. National advertising revenue was down almost 1% despite an increase in USA Today’s ad revenues of almost 1%. Gains from the entertainment, financial, telecom, home and building, advocacy, and real estate categories at USA Today were partially offset by weakness in automotive, travel, technology, and a couple of other categories. Focusing on the UK briefly, revenues for Newsquest in pounds were down 6% in the quarter. Newsquest operating profits, again in pounds, and including several million pounds of expense for staff reductions, was 15% lower. Strong politically related ad demand and online revenue growth drove our broadcast division. Total revenues as you saw for broadcasting, including Captivate, were almost 4% higher compared to last year. Total revenues at just our TV stations alone were up over 3%. Local ad revenues increased 4%, while national was flat for the quarter. Looking ahead, the latest pacings for the third quarter overall, are up in the low single digits compared to last year’s third quarter. However, we anticipate political will pick up strongly in the latter part of the quarter, and those dollars are not committed till close to air time, so they are not reflected in the pacings that we shared with you today. That’s how we’re pacing at the moment, although pacing can be volatile, as you know. We’ll keep you updated in our monthly report. All of the items I mentioned at the beginning of this had a significant impact on the quarter from the expense side as well. So as we’ve done in the past, let me to sort it out for you. As I mentioned, stock based compensation for the second quarter was $10.3 million. About $6 million was allocated to the newspaper segment; about $1.3 million to broadcasting; and $3 million to corporate. The charge after tax was $6.4 million or $0.03 per share. In fact, excluding stock based compensation expense our EPS would have been flat year-over-year. Overall, our reported expenses were up 9.5%, however again, excluding stock-based compensation, and on a pro forma basis, the Company’s cost increased 1%. Looking at expenses for each of our businesses, in the newspaper segment our reported expenses were 9.8% higher. However, on a pro forma basis, and that is assuming we owned 100% of Detroit and the same complement of properties in the second quarter of ’06 as well as ’05, newspaper expenses would have been up slightly over 1%, and excluding stock-based compensation would have been less than 1%. Reported newsprint expensing increased slightly over 12%, comprised of price increases of about 10%, and about 2% higher usage. Again, Detroit and other acquisitions had a significant impact on this. On a pro forma basis, newsprint expense was up about 5% with usage down 5%. So let me give you one last cut on the expense side, which you normally are looking for. Pro forma newspaper segment expenses, excluding stock based compensation and newsprint expense, increased less than 2/10 of 1%. In our broadcasting segment, operating expenses were up 4.7% on a reported basis. Excluding again, stock compensation, cost increased 3.4%. Finally reported corporate expenses were $3 million higher, due entirely to stock option expense. Before I move to the balance sheet, I want to provide a brief update on newsprint. Gannett had six-month price arrangements covering a substantial amount of our requirements in the first half. These arrangements will continue through the second half. As you know, producers are seeking another $40 price increase effective August 1. However, declining consumption and an over supply in the Western US are expected to challenge these efforts. Looking offshore, Chinese producers are adding nearly 2 million tons of newsprint capacity with 75% of that volume coming online by year-end. We believe a substantial amount of that tonnage will be exported to North America. In fact, we are trialing Chinese paper in anticipation that it will be an alternative. Given these dynamics, and as we’ve said before, it isn’t unreasonable to suggest the marketplace is approaching the upper limit on prices. Turning to the balance sheet, total debt at quarter end stood at $5 billion. Cash and marketables were $134 million. At this point, our all-in cost of debt is 5.3% with commercial paper at 5.2%. We issued $1.25 billion of debt in May comprised of $750 million of three-year floating notes based on three month LIBOR, and $500 million of five year notes with a coupon of 5.75%. Capital expenditures for the quarter totaled approximately $50 million and $91 million year-to-date, which is in line with our assumption of $240 million for the year. With respect to shares outstanding, shares at the end of the quarter were 236.7 million, and the quarterly average was 237.4 million. We repurchased 1.3 million shares in the second quarter. We continue to balance our share repurchase activity with acquisition activity. To date we have announced, or closed on, a little over $500 million of acquisitions, including Planet Discover, the California newspaper partnership, WATL in Atlanta, and KTVD in Denver. That does not include funds that will be needed for the resolution of the CareerBuilder situation. We will, however, remain active with share repurchases in the second half of the year. With that we’ll stop, and Shannon will open it for questions.
Operator: Thank you, Ms Martore. (Operator Instructions) Our first question will come from John Janedis of Wachovia Securities.
John Janedis - Wachovia Securities: Hi, good morning. Thank you. Just a couple part question on the TV business, if I could. Gracia, have your forecasts for political changed at all? Does that low single-digit number on the release that you mentioned include the two TV stations that were recently closed on?
Gracia Martore: John, first off we have only closed on the Denver TV station, and that literally just closed. So those pacings wouldn’t necessarily reflect the new station. The other station in Atlanta we are still waiting for regulatory approval to come. Again, I would say on the TV side we remain comfortable with the assumptions that we provided at the Mid-Year Media Review for the full year of low to mid teens. We anticipate again that political revenues will be very strong this quarter, but again will come in more toward the end of the quarter, rather than the beginning, which is the way our budget is constructed. You will see pacings reflect that as the quarter progresses.
John Janedis - Wachovia Securities: Thanks. Do you think from some of the other categories, are you seeing any kind of firming in the ones that you mentioned, that were soft for mid-year, meaning auto and a couple others?
Craig Dubow: John, what we have seen, auto, as we reported mid-year was down a bit. We are about flat at this point within the third quarter, which we look at as a very positive at this point. The services sector is up significantly; home improvement is up significantly; telecom is doing quite well; medical and dental is doing quite well. There are a number of other categories right now that we are feeling okay about, and these that I’ve mentioned we feel much better about. Certainly, when you consider then, when the political will come in, which we anticipate as Gracia mentioned predominately in September, it should round us out to be right into the forecast range that we had. We’re feeling very good about that.
John Janedis - Wachovia Securities: Thank you very much.
Craig Dubow: Sure.
Operator: At Credit Suisse, Debra Schwartz has our next question.
Debra Schwartz - Credit Suisse: Hi, thank you. I was wondering can you just give us an update on the CareerBuilder with respect to your options of purchase?
Craig Dubow: What I will say that at this time we continue our negotiations and in typical Gannett fashion, that’s all we’ll comment on until we conclude.
Debra Schwartz - Credit Suisse: Also, is there a general timetable we can expect?
Gracia Martore: I would expect that there would be resolution of it by the end of the quarter, certainly.
Debra Schwartz - Credit Suisse: Great, thank you.
Operator: Lauren Fine of Merrill Lynch has our next question.
Lauren Fine - Merrill Lynch: Yes, I’m wondering if you could comment on how sustainable the cost performance was in this quarter and in the future quarters, because it was pretty remarkable.
Gracia Martore: Lauren, our expense performance over the last few quarters, over and above what it has always been historically, has been very strong. Our folks in the field have done a great job based on where their individual businesses stand, making their expense performance in line with their revenue outlook. Obviously, as we get into the latter part of the year and we have a firming on the revenue side, particularly with political, we’ll see some of the comps associated with that, but we anticipate that we’ll continue to do the strong job, that our folks will continue to do the strong job that they have done so far these last few quarters.
Craig Dubow: Yes, I would just add that Sue Clarke Johnson’s group really has moved in the proper way from everything that we’ve asked, Lauren. We’re very pleased and certainly expecting that will continue.
Gracia Martore: As have of our folks at Newsquest, really have done a good job there.
Craig Dubow: Certainly.
Lauren Fine - Merrill Lynch: Relatively, if you could comment on how things are going in Detroit, both top line, but also specifically on the cost side. How you are doing on improving margins there, at least holding on in view of a tough revenue environment?
Gracia Martore: You’re spot on, Lauren. The revenue environment there continues to be tough with all of the associated auto issues, but on the expense side the team there has really done a strong job, which has enabled us to keep pace with what’s happening on the revenue side. As you know, earlier this year they went to a single edition on Sunday; a single masthead and they’ve done some things on Saturday. The new press there has enabled them to deal with the people side from a productivity standpoint. So I think that they are doing a good job on the expense side, and we’ll continue to see the benefits of that new press project on the color advertising side and in other areas over the next several months.
Lauren Fine - Merrill Lynch: Great, thank you.
Gracia Martore: You’re welcome.
Operator: Alexia Quadrani of Bear, Stearns has our next question.
Alexia Quadrani - Bear, Stearns & Co.: Thank you. Just following up on your comments on Newsquest, if you could talk about signs of stabilization. Is it a bit more pronounced or encouraging than you had seen in the fourth quarter of last year when we thought we might see stabilization then? How did the -6% revenue decline in the quarter compare to the decline we saw in Q1? Lastly, if you could give us any more details or one component of Newsquest, whether it’s the help wanted or one component that might be doing a bit better versus everything else over there.
Gracia Martore: Yes, Alexia, on the 6% decline in ad revenues in the second quarter, my recollection was that in the first quarter the ad revenue decline was in about the 9% range. Again, we would point out that the comps did get a little easier in the second quarter, and they will get a little easier clearly in the second half of the year. I think while we had given some numbers out in December at Mid-Year Media Review, we talked a little bit about the fact that the management team there feels, at this point, that things have stabilized, that the declines are not getting worse. Part of that is obviously helped by the comps, but there have been some small positive signs in some of our markets there that give them just a little bit more optimism that we have reached the bottom. We are watching that very carefully. We’ll keep expenses in line and if that is not the case, then our management team there will do what is necessary to respond to that.
Craig Dubow: Just a follow on for one second. The one area that we’re seeing just a hint of positive in it, at this point, certainly is in the properties category in the Northeast. We mentioned that at Mid-Year, but that as of this month, has continued again. It’s a little bit unusual. Typically we would have expected to see that certainly in the South, but it is a positive, but I don’t want to go too far with that. To answer your question, that’s where it is.
Alexia Quadrani - Bear, Stearns & Co.: Thank you.
Operator: We’ll hear next from Paul Ginocchio from Deutsche Bank.
Paul Ginocchio - Deutsche Bank: Thank you. Craig, if you could comment on what you though of the NBC Upfront. Gracia, could you remind us of the TD revenue exposure to Primetime, early in late fringe? Thank you.
Craig Dubow: I think NBC, obviously at this point with the Upfront is - it has been difficult for them, to say the least. Certainly, the impact is that it’s slowed down to us from the spot market has certainly had some impact. They have got to fix the programming issues. I know that team is working very hard on it, but I have to say when you take a look at some of the other opportunities, particularly on the ABC and CBS side for us, the pickup has been very nice in the kind of programmatic scheduling that we’ve had. The other thing to note, Paul, is that when you take a look at the overall late news and how that has been impacted, we have been very blessed in how well we have operated within a very local environment there. Our ratings have maintained or grown. We’ve also seen further growth to help us, particularly in Tampa, in Sacramento, and in Little Rock, Arkansas that have had some nice impacts for us. Despite the downside of NBC and what has occurred through the Upfront, we have had a number of other offsets that have been substantial for us.
Gracia Martore: On the Primetime side, I think that represents about 30%, a little over 30% of the pie.
Paul Ginocchio - Deutsche Bank: Great, thanks.
Operator: Steven Barlow of Prudential Securities has the next question.
Steven Barlow - Prudential Equity Group: Thank you. Gracia, can you size the cost savings generated from the headcount reductions in Detroit and in the UK, and what the dollar amount of those savings might be as well? The number of bodies that were taken out?
Gracia Martore: With regard to Detroit, just specific to the new press project and what we did as you may recall last year in the second quarter, with regard to the severance charge we took. I think they reduced headcount by about 80 folks in Detroit. Obviously, we have done substantially more than that, and it is in the 100s at this point. On the Newsquest side, I think it’s a similar number over the last year or so. As to dollar savings, I don’t have that right in front of me, but obviously that’s reflected in the expense numbers that we shared.
Steven Barlow - Prudential Equity Group: Thanks.
Gracia Martore: Thanks, Steve.
Operator: Of Morgan Stanley, Lisa Monaco has our next question.
Lisa Monaco - Morgan Stanley: Yes, Craig, could you just elaborate on what you’re seeing in newspapers in July? Then, secondly, Gracia, if you could give us any color what we should expect for the other revenue line for the year? Thanks.
Craig Dubow: With respect to July, it’s still a bit early to really tell. Frankly, what we had communicated mid-year is very much in line with what we believe will take place overall. I think Gracia commented earlier, the West in particular has had some very, very good positives for us, but overall, we’re right where we were with our mid-year comments.
Gracia Martore: With regard to the other revenue line, there’s really three pieces that have been impacting that line. First is the Tex-Mex. We’re now, as I mentioned, have those results of the one line item there, so that will continue for the full year, because we didn’t do that until December. The other big pieces are Point Roll, which we acquired in June of last year, so a big increase in that line in June, but now we will have cycled that, so what you will see is simply the normalized revenue increases, which are quite nice, from Point Roll in that line. Then what came out of that line in August of last year was Detroit, which was a one-line item, which as you know is now fully consolidated. I guess all of that would add up to us probably seeing something more modest than the 8% growth or so that we’ve seen in the other revenue line this quarter.
Lisa Monaco - Morgan Stanley: Great, thank you.
Operator: Michael Kupinski of A.G. Edwards has our next question.
Michael Kupinski - A.G. Edwards: Thank you for taking the question. A few years ago, Valassis and Advo discussed a merger, and a newspaper executive at that time indicated that he would pull his newspaper partnerships with Advo if it proceeded with the merger, apparently concerned about competition. Valassis has now become a major client of Advo. I was wondering, with the recent merger announcement between the two, are you concerned about potential competition, particularly for your pre-print products for the weekend or Sunday insert? What gives you the comfort that Valassis would not use Advo for distribution, especially in smaller markets?
Craig Dubow: First of all, we think that the audience has a nice match-up with certainly what we’re trying to reach here. We are, as we look to the future here, we’re exploring with Valassis more ways to develop additional partnerships that can make sense in some of our markets. We are in the process of meeting with them over the next several weeks to explore this. As you probably know, we have some relationships already ongoing in Detroit and certainly our California newspaper partnership as well.
Michael Kupinski - A.G. Edwards: So you’re not concerned that Valassis would use Advo as part of their distribution, or more so?
Gracia Martore: They may do that, Mike, but I think that the audiences we provide to Valassis are important ones than -- uniquely important ones to the ones that they’re trying to reach, so we’ll have discussions with them, but we’ll see how that goes after those discussions.
Michael Kupinski - A.G. Edwards: Great, thank you.
Operator: We’ll hear next from Frederick Searby of J.P. Morgan.
Frederick Searby - J.P. Morgan: Thank you. I wondered if you could just give us some color on when you would expect the international CareerBuilder kind of foray into the international markets to actually have an impact and how that’s going. I know they just launched the U.K. and I think India, so it’s probably not material now. Share repurchase -- you repurchased, I know this is opportunistic, 1.3 million shares. Should we assume that things will continue in that realm? Thank you.
Gracia Martore: With regard to CareerBuilder overseas, as you said, they are just in the very initial forays into that market. Obviously they see some opportunities, but it’s much too early for us to try to put any kind of quantification to what that opportunity might be. We’re very focused on continuing to grow our share here in the United States as well, and that’s probably the more important piece of the puzzle right at this moment. As to share repurchases, as I said, we continue to balance them against acquisition opportunities. Clearly we’ve announced or completed over $500 million of acquisition thus far. We have CareerBuilder to pay for, wherever that ends up. Then obviously we are looking at a number of opportunities right now, so that will size where we go on the share repurchase front. As I said in my prepared remarks, we will continue to do share repurchases in the second half of the year.
Frederick Searby - J.P. Morgan: Thank you.
Operator: Of Thomas Weisel, Christa Sober Quarles has our next question.
Christa Sober Quarles - Thomas Weisel Partners: Obviously real estate cost has been a significant area of strength for you guys. As you think about going forward, the softness in the market, how are you preparing for that? What are you doing on the online besides Classified Ventures? Are you looking to be more aggressive in your online real estate classifieds? Thanks.
Gracia Martore: Christa, on the real estate side, clearly we are enjoying some very positive numbers on real estate, and anticipate that as Sue Clark-Johnson said at mid-year, that we’ll continue to see good growth in real estate as houses stay on the market for longer periods of time. Obviously there comes a point, and we can’t predict when that point will be. It will be a function of interest rates and other things, where if houses stay on the market too long, then that becomes problematical. If it is a soft landing with regard to real estate, we should be in reasonably good shape. Obviously we continue to be aggressive in ramping up our efforts, both on the print side through outbound calling and other aspects on the classified side, as well as our online efforts. Classified Ventures does a good job for its owners, and we continue to work with them to be more aggressive in finding more opportunities on the real estate vertical as well as others.
Christa Sober Quarles - Thomas Weisel Partners: So your primary path then here is to continue to go with the Classified Ventures route as opposed to doing something perhaps more aggressive on your own?
Gracia Martore: We think that Classified Ventures will be very aggressive with these verticals, and we look at all opportunities and will continue to pursue whatever makes the most sense, but at the moment, Classified Ventures has done a good job for us.
Christa Sober Quarles - Thomas Weisel Partners: Okay, thanks.
Operator: We’ll now move on to Jim Goss, Barrington Research.
James Goss - Barrington Research: Thank you. Of the recent acquisitions that you’ve made, such as Point Roll and Planet Discover, how do you see them affecting future comparisons, both internally and through applications to the various Internet ventures you have? Are you looking for acquisitions of a similar nature to supplement your growth in that space?
Craig Dubow: Jim, we are looking at it from all sides. What we can grow organically here as well as what will complement that growth. Certainly the Point Roll side, certainly rich media and what that can mean certainly on the advertising side. The local search with Planet Discover was an integral part in how we can best serve those local communities. As we evolve, if there is a technology that will really enhance future opportunities on the topside is really what we’re after. I think you can begin to see the thread that we’re running through each of these businesses and how that will apply across the Gannett Company, and ultimately what we are after. I said it in the prepared remarks -- it’s all about local, and we are being very, very specific and focused to that and how we can best serve both that ad community as well as the consuming side of the products.
James Goss - Barrington Research: Over what period of time do you expect to have an impact, not only on the rate of profitability but on the level of dollars that you generate from those areas?
Gracia Martore: Point Roll already is contributing. Their growth rate year-to-date on the bottom line has been over 100%. Obviously that’s off a few million dollar base, but still it is a very important piece of the puzzle, and they’ll continue, I'm sure, to have strong performance. Planet Discover is more the technology part of it, and what it will drive is our local online revenue growth that we’re able to achieve. Already, just in some of the things that we’re doing, Sue Clark-Johnson reported at mid-year media review I think, that our local online revenues were up over 30%. So this will just be another opportunity for us to turbo-charge those local revenue growth. I think it is too early for us to try to put a box around what we think those numbers will be, other than to say that over the next three years, we intend to very, very meaningfully increase our revenues attributable to the digital side of the business.
Craig Dubow: I think the real key here, Jim, is when you take a look at the local relevance of what we’re trying to do. When you look from a search perspective in particular instead of the multitude that you would receive off a national service, what we’re able to do is best optimize this product as it would best match that local community. Therefore, what we’re trying to do then is differentiate within that local environment. My view is that in the long term, that is going to really produce some wonderful results for us because of the consumer satisfaction and then ultimately, that will over the long term here really grow the top side. That’s what we’re after in trying to create that better local consumer experience.
James Goss - Barrington Research: Thanks very much.
Operator: We’ll hear next from William Bird of Citigroup.
William Bird - Citigroup Smith Barney: I was wondering if you could comment on what percent of your help wanted ad revenues is online now? What does print versus online growth look like? Also, why the Q2 drop in D&A, and what is your expectation for the year? Thank you.
Gracia Martore: Bill, with regard to the drop in D&A in the second quarter, as you may recall, in the second quarter of last year when we brought up the new Detroit presses, we had some old equipment in Detroit that we had to take the full depreciation hit for. Our depreciation ramped up in the second quarter of last year because of this one-off charge. That is why the depreciation number is lower, although offset a little by the fact that we now have 100% of Detroit assets being depreciated through that number, and also due to acquisitions. So the guidance that we gave on D&A at the media mid-year review I think still remains the correct range. As to a breakdown between online and print, we gave you the online growth numbers in the domestic community newspapers. Probably over 50% of our growth in -- over 50% of our online revenues in the community newspaper would be from employment up-sell. So that gives you some sense of the magnitude of it.
William Bird - Citigroup Smith Barney: Thank you.
Operator: We’ll now move on to Craig Huber of Lehman Brothers.
Craig Huber - Lehman Brothers: Good morning. I just want to get back to this share repurchase question. You mentioned about $500 million of acquisitions so far. I’m just wondering here, with the stock at nine year lows here, you did about $600 million of acquisitions last year, but you also bought $1.3 billion of your stock back last year. This year you’ve done $500 million of acquisitions -- why have you only spent about $60, $70 million so far on stock buy-backs with the stock at nine year lows? I get that question a lot from investors. Thank you.
Gracia Martore: Craig, the $600 million number you quoted was for the full year, and the $500 million number I shared with you is what we have done to date, plus there is whatever there will be with regard to CareerBuilder, plus there are potentially some other opportunities that we’re looking at that will add to that number. So where that number ends up for the year remains to be seen, but I can probably be pretty sure that it’s going to be above $600 million. Again, we continue to balance acquisitions with share repurchases. If we believe that the things we’re looking at on the acquisition side will ultimately give us a better return in the intermediate to the long-term, then obviously we’re going to take advantage of those opportunities. To the extent that they won’t, we’ll be active in the share repurchase market, but that’s a decision that is made on a daily basis and we’ll continue to manage it that way.
Craig Huber - Lehman Brothers: I understand all that, but the $1.9 billion or so you spent collectively last year is a long way from roughly the $600 you’ve done so far. Maybe you’ll do some more acquisitions later in the year, but I imagine that you’ll end up net net spending a lot less than the $1.9 billion when the whole year is fully done. Is that a fair comment?
Gracia Martore: I don’t know yet. I cannot -- when we came into 2001, we did not anticipate we were going to do $4.6 billion of acquisitions. A few months later, in pretty rapid-fire order, we did. So I’m not going to sit here today and comment to you on how much I think we’ll ultimately do in acquisitions this year, or share repurchases, because again, we’ll have to see what the opportunities are and what makes sense for us to do. We throw up $1.2 billion or so in free cash flow, and certainly that’s a number that we are comfortable reinvesting. If we think that there are other opportunities that will take us -- compelling opportunities that will take us above that number then, as we have demonstrated in the past, we’ll do so.
Craig Huber - Lehman Brothers: Really, Gracia, the question is why are all these acquisitions, maybe the exception of CareerBuilder, better than buying back your stock at nine year lows? That’s the question.
Gracia Martore: We obviously must see in those acquisition opportunities returns that perhaps will give us better opportunities than simply buying back our stock at the moment. That is something that we run numbers on all the time. Whenever we are looking at an acquisition opportunity, we also look at the share repurchase model, and we model it out for a number of years, and whatever makes the most sense for us to do, we will do. We are not just predisposed to doing acquisitions because we want to increase, as Doug would have said, the number of pages in our annual report. We are only predisposed to do acquisitions if we think that they will create over the medium to long-term greater value for us.
Craig Huber - Lehman Brothers: Thank you.
Operator: At this time, we do have time for one more question. Our final question will come from Peter Appert of Goldman Sachs.
Peter Appert - Goldman Sachs: Gracia, two things. First, it definitely looks like the help wanted numbers are decelerating here. I’m interested into any insights you have on that, and any sense that continues into the second half. Secondly, based on your comments, do you think it’s reasonable to assume that newsprint cost per ton could be flat in ’07?
Gracia Martore: Well, it probably isn’t fair to assume if you think about, on the newsprint side, whatever piece of the price increase…
Peter Appert - Goldman Sachs: Right, the full-year impact for…
Gracia Martore: …there would still be some -- we are just going to have to see as we get close to 2007 where all of these pieces come. Obviously I’m not going to rule anything out.
Peter Appert - Goldman Sachs: So we’re approaching sort of 680, I guess, a ton or something like that. That maybe could be the clearing price, you think?
Gracia Martore: I am not familiar with 680.
Peter Appert - Goldman Sachs: What are you familiar with?
Gracia Martore: A number that is lower than that.
Peter Appert - Goldman Sachs: Okay. How about your sense of what is going on in the help wanted market, maybe if we are past an inflection point where things are starting to accelerate meaningfully?
Gracia Martore: I think really when you look at some of the numbers that are coming out, vis-à-vis the jobs reports, it seems as though we’ve hit a little bit of a trough in job growth and the like over the last couple of months. Certainly help wanted would reflect some of that, but whether that is the trend going forward remains to be seen. I think we continue to see some of the geographical differences that we’ve been talking about, where we have strong growth in some areas of the country and obviously in those areas where the economies are more manufacturing or auto-based, you know, a tougher time with the lay-offs going on in those communities. Then there are some communities where we are where the unemployment rate is so low and the demand for skilled workers so high but the supply so low that it’s become difficult for folks, and we’re seeing a little less advertising because there just isn’t the skilled employee base out there. This quarter has been kind of funny because of the Easter switch, and then May was a very strong month on several fronts, and then June, so it’s been hard to discern any real trends out of this quarter. We’ll just have to see where the next few months go.
Peter Appert - Goldman Sachs: Great. Thanks, Gracia.
Gracia Martore: I think that concludes our call for today. If you have any further questions, please give a call to either Jeff at 703-854-6917, or me at extension 6918. Have a great day and thanks for listening in.
Operator: That does conclude today’s teleconference. Thank you for your participation and have a wonderful day.